Operator: Good morning. My name is Racheal and I will be your conference operator today. At this time I would like to welcome everyone to the First Quantum Mineral Q3 2016 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question and answer session. [Operator Instructions] Thank you. Clive Newall, you may begin your conference.
Clive Newall: Thank you, operator and thanks everyone for joining us today. On the First Quantum side, we've got Hannes Meyer, CFO; Juliet Wall, General Manager, Finance; and Simon MacLane [ph], Acting Group Reporting Controller. Before we proceed, I'll draw your attention to the fact that over the course of the conference call we will be making several forward-looking statements, and as such I'll encourage you to read the cautionary note that accompanies our third quarter MD&A and the related results, news release, as well as the risk factors, particular to our company which I detailed in our most recent annual information form and available on our website www.first-quantum.com and on SEDAR. Following my opening remarks, Hannes will take us through the financial results which are published yesterday after the close the markets, and after that we'll open the lines to questions. A reminder that the presentation which accompanies this conference call is available on our website and can be accessed either on the events section or on the Q3 2016 results conference call button under the new sections of the website. So to get started, we're very pleased with the quarter's results in all aspects of the company; our copper production sales rose again marking another record making quarter for both production sales. Sentinels continued ramp up with better quarter-on-quarter operations is of course a major part of this achievement. But our existing operations also recorded higher production. Last [ph], the good work done to improve margins in the entire operation, especially in the pressure filter area resulted in the highest quarterly production to date. And our Kansanshi mine turned in our best production performance since Q1 2014. The smelter also continues to perform well, despite being taken offline for 17-day period to conduct repairs and maintenance. It treated over 276,000 tons of copper concentrate; its second highest level and achieved an average recovery of 97%. Importantly, our company-wide focus on cost containment is still very much on forefront; Copper C1 and C3 costs were both lower than Q2 of this year while all-in sustaining at $1.36 was closer to the Q1 level on higher sustaining capital in the quarter compared to Q2. Our sales hedge programs once again were a positive, for the quarter these programs added $0.09 per pound and $0.01 per pound respectively to copper and nickel sales. We remain active and opportunistic with both programs during this uncertain market. In Zambia, energization of the second power line into some Sentinel did indeed happen in third quarter. Commissioning has been taking place and we expect power supply into Sentinel to be progressively increased to its full requirement. In the short-term, you may have noticed the news release of Zesko [ph] two days ago that they are currently conducting line upgrading works on the Maamba to Lusaka line to handle a full output of 300 megawatts on Maamba Collieries. They estimate this work will be done by November 11, and current load-shedding will end on the 12. The declaration of commercial production for the Sentinel projects is continuing on the provision of consistence adequate power which could happen this quarter. So based on the later that anticipated energization of the second power line we have revised Sentinel's forecast 2016 copper production downwards despite its increasingly better quarter-on-quarter performance. While on the subject to forecasting, you would have also noticed that we increased this year's copper production forecast for our existing operations, as well as low to C1 and all-in sustaining cost estimates. Our updated three-year guidance is planned for a release in February after the consolidation of our annual strategic sessions. I think it's fair to say that you can reasonably we expect Sentinel to continue to be a positive to our copper production base in 2017. This is expected to be augmented by Cobre Panama's phase commissioning in 2018 and continued ramp up in 2019. This project continues to advance well towards these targets. Since our Q2 update, we've been able to progress numerous construction and disciplines across the sites. As you know an important focus for us has been and continues to be the power station and its associated infrastructure. We expect to produce First Power in Q4 next year with a first 150 megawatts set. The second 150 megawatts set is planned to follow into operations in the first half of 2018. On the ever important earthworks side of the project, we have now moved over $100 million BCMs of material which is a major achievement. The mine pre-strip works are in a steady rhythm and are 40% complete. The trailing management facility earthwork is at about 60% complete and that the process plant -- the main remaining earthworks are related to the conveyor corridor between the mine and the process plant, and this is -- this work is well underway. In other areas of the project, the overall concrete progress is approximately 70% complete; structural steel erections, 41% complete; and the mill installation has four mills installed along with three of the large gearless mill drives out of a total of seven mills to be installed eventually. We expect to have six of these mills erected by the end of this year. Our project procurement activities are focusing to ensure that all material and equipment required for 2017 construction efforts are ordered and scheduled correctly for the remaining construction sequence. We continue to see reduced pricing opportunities and shorter deliveries being offered for equipment and bulk commodities as the market remained subdued. The estimated capital cost of $5.48 billion is unchanged, however the schedule of the reaming spend has been adjusted to bring forward some stripping into this year. As I mentioned earlier, commissioning is planned to begin in 2018 and for the target to achieve an equivalent of 60 million in tons per annum throughput rate in December 2018, and we continue towards steady state operation further rump up in 2019. And in the meantime, we continue to advance the lengthy and involved process to secure our project financing relating to Cobre Panama. To follow up on my comments on last quarter regarding Ravensthorpe and interest from non-traditional buyers in our mixed hydroxide product, discussions are continuing, but also there has been a step-up in interest from traditional buyers, as well -- as well with terms more favorable in 2016 being negotiated. So the outlook for this long-life asset is quite positive. Now to wrap up, we believe a recovery in the metal space is coming soon, and that our additional copper production capacity will be both valuable and timely. This year is supported by developments in the space such as the recent data out of China that shows strong Chinese housing sales and the new construction, and the recent acquisition by two different Japanese mining equipment manufacturing companies to name a few. On that note I will hand over to Hannes to take us through the financial review.
Hannes Meyer: Thanks, Clive, and good day to everyone. I'll turn to Slide 12 in the presentation that is on our website as well and it's correlating [ph] quarter highlights. It's worth noting that figures in the presentation are stated on a continuing basis and therefore exclude Kevitsa in both the current and comparative period. This follows the sale of Kevitsa to Boliden, which is completed on June 1, with all proceeds now received. Copper production reached record level for the third quarter running and totaled 143,000 tonnes. Production was 38% higher than Q3 2015 with higher production at the majority of operations and additional contribution from Sentinel. Nickel production was 3,000 tonnes below Q2 2015, due to one of the high pressure asset lead circuits being offline for seven weeks for a pace to the titanium lining. Copper sales volumes also reached a new record level for the third quarter running with sales totaling 136,000 tonnes. Copper sales were 34% higher than Q3 2015. Anode inventory stood at 47,000 tonnes at the end of the quarter, an increase of 2,000 tonnes from the previous quarter. Copper C1 costs of $0.97 per pound for the quarter was $0.19 below Q3 2015 and $0.01 below Q2 2016. Copper all-in sustaining costs was significantly below Q3 2015 level, primarily on lower C1 cost and royalty; lower royalty expense. Turing to the next slide, production; Kansanshi production of 67,000 tonnes was 23% above Q3 2015. Sentinel contributed 39,000 tonnes of pre-commercial production in the quarter, an increase of 7,000 tonnes on Q2 2016 as the ramp up continues. All other operations saw an increase in copper against Q3 2015 with the expectation of Guelb Moghrein, which was lower on reduced grades. In Q3 2016, the Kansanshi smelter processed 276,000 tonnes of concentrate, a decrease of 11% against the previous quarter owing to the 17-day shutdown for repairs to the furnace. The smelter achieved an overall copper recovery of 97% and produced 63,000 tons of copper and 266,000 tonnes of sulfuric acid. Nickel and gold pretty much stayed in line, we dealt with the nickel earlier. Setting to financial overview slide, average copper prices where $2.23 compared to $2.36 per pound in Q3 2015. The impact of the lower market prices was partially mitigated by the hedge program in place. Q3 2016 gross profit of $80 million for the quarter was $20 million lower than Q3 2015 as these lower realized prices plus higher depreciation were offset by costs saving and lower royalties. Net data of $4.2 billion was in line with last quarter, comparative earnings per share of $0.05 in Q3 was $0.05 below Q3 2015, impacted by lower gross profit from the lower prices. Turning to the cash cost slide; Copper C1 of 97 pound was $0.16 -- 16% below Q3 2015. This was achieved from continued focus on cost reduction operating efficiencies across all operations, and higher production at certain operations. Specifically, Kansanshi Copper C1 cost of $1.05 per pound produced $0.29 against the corresponding quarter last year due to improved plant recoveries, lower mining, processing and fuel cost; and the ongoing impact on cost reductions implemented in the past year. All-in sustaining cost of $1.36 per pound was $0.36 or 21% below Q3 2015 on lower C1 costs reduced Zambia royalty cost, lower sustaining capital, and a reduction in general and administrative expenses. Turning to the next slide, we've got gross profit wonderful chat. We've touched on some of these drivers behind the movement early in the presentation, however, the slide demonstrates the impact of lower market prices offset by our sales, hedges and cost improvement. Higher depreciation have risen due to increased depreciation associated with the smelter. Moving to the next slide on the hedging; and in this slide we've now sort of broken out the hedging program over the next year in a quarterly format. And in the light of the lower metal price environment, we've established this program in 2015 in order to predict the group's cash flow while Cobre Panama is under construction. The program to-date has yielded an additional $189 million of revenue including $135 million during the current year. As Clive noted earlier, we remain active and opportunistic on the hedging program for both metals, and to that end we have hedged the majority of our Q3 -- Q4 sales from both, copper and nickel. In 2017 we've hedged 344,000 tonnes of copper at an average price of $2.19 per pound, weighted towards the start of the year, this gives us a good level of protection against our expected 2017 sales while allowing us to benefit if process start to increase. Turning to the next slide on capital expenditure; reduction and total capital expenditure remains at focus at all operations and our net capital expenditure for the quarter was $213 million. This included $118 million net spend at Cobre Panama, and $14 million project spend at Trident. The lower table on the slide breaks up the remaining projects spend between First Quantum share and third-party share at Cobre Panama. You will note that we have increased our estimate at net spent on Cobre Panama from $319 million to $415 million in 2016. This is not an increase in total project spend but a resizing of the spend and focusing on derisking the project as Clive said earlier by bringing forward some of the stripping. The estimated reaming First Quantum share of spend is $1.2 billion with $130 million forecasted to be spent over the remainder of this year. The next slide on long-term debt profile; the company ended the quarter at $600 million of undrawn facilities and $800 million of unrestricted cash. Q3 net debt-to-EBITDA ratio of 4.3 was within the 5.5 covenant ratio set in the new facility. Turning to the market guidance slide; overall production guidance for copper excluding Sentinel and zinc has been increased as a result of the year-to-date performance of Kansanshi and [indiscernible] respectively. Guidance for nickel and gold remains unchanged; guidance for Sentinel has been revised to 130,000 tonnes. C1 and all-in sustaining costs for copper have been reduced from previous guidance to reflect sustainable cost savings and performance year-to-date throughout the group. In 2016, C1 copper cost excluding Sentinel was expected to be $1 and $1.05 per pound from the previous guidance of $1.05 and $1.15 per pound. Copper all-in sustaining cost excluding Sentinel is expected to be between $1.35 and $1.45 per pound, down from between $1.40 and $1.60 per pound. Nickel C1 guidance remains unchanged between $4.50 and $4.70 per pound, and all-in sustaining guidance between $5 and $5.30 per pound respectively. Full year total net capital guidance which includes spend at Kevitsa up until the date of the sale has been increased by $60 million to a total of $770 million. The increase of $60 million purely affect the timing of expenditure at Cobre Panama with expenditure brought forward. So capital guidance broadly consists of $450 million at Cobre Panama, $140 million of capitalized stripping, and $180 million on other projects and sustaining capital. Thank you, and I will now hand back over to Clive.
Clive Newall: Thanks, Hannes. So operator, could you please open the lines to take questions.
Operator: [Operator Instructions] And your first question comes from the line of Orest Wowkodaw from Scotia Bank. Your line is open.
Orest Wowkodaw: Hi, good morning. I had a question of about your guidance for Kansanshi for this year; when I look at what you've done year-to-date, even your updated guidance which suggest that production in Q4 is going to be down about 20% from the third quarter. Is that just being conservative or is there an operational reason you expect production to be down in Q4?
Juliet Wall: I mean there is some conservatism in the guidance, but obviously also moving into the rainy season as well; so there is some caution applied to the guidance but would hope there is some conservatism too.
Orest Wowkodaw: Okay, yes, because 20% down quarter-over-quarter seems overly aggressive in my view.
Hannes Meyer: Yes, we don't expect it to be down completely. That as Juliet said it is an element of conservatism built in.
Orest Wowkodaw: Okay, thank you very much.
Operator: Your next question comes from the line of Ralph Profiti from Credit Suisse. Your line is open.
Ralph Profiti: Thank you. Clive, the decision to roll into more copper hedges; was that put in place strategically ahead of the project financing discussions or is this a decision based on some of the near-term risk and volatility that you're seeing in copper prices?
Clive Newall: I think very much the latter. I mean we'll continue this opportunistic hedging strategy for as long as it's deemed the market -- the volatility in the market will remain while we're still building Cobre Panama. But obviously we're very cognizant of the fact that we don't want to give away any upside which is why most of our hedges are very much in the short-term over the next few months, and much less so as you work out through next year as hoping Hannes has just shown you the slide.
Hannes Meyer: Yes, I mean the two are not linked, the project financing and the hedges, neither is the requirement and they are current loan facilities. So it is corporate initiative whereby we look at this and say we -- it helps us in giving visibility on earnings and EBITDA over the -- and liquidity over the next year. And we've now put pretty much move to a program where over the next six months are basically sort of fully covered and then somewhere between 30% to 50% of month 7 to 12; we will probably look at continuing that program.
Ralph Profiti: Got it. And secondly, if I may -- I'm wondering if you can get more disclosure on the grounds for which Kansanshi shareholders have put in a claim. Is this a material issue? And what could be the potential timing of an arbitration hearing?
Clive Newall: Look, obviously this has just happened; I mean late yesterday Kansanshi Holding Limited received a notice of arbitration under the Kansanshi Shareholder's Agreement commenced by the ZC Investment Holding PLC. We're in the process of accessing what the merits of the -- of are of this dispute but it's -- this is a commercial arbitration between shareholders and you appreciate that we are subject to the usual confidentiality obligations of the arbitration, runs its cost or until resolve. So there is not really much more we can say about this point. And to be quite frank, we only got this late yesterday; so we're just working our way through it.
Ralph Profiti: I understand. Thank you, Clive. Thank you.
Operator: Your next question comes from Matthew Fields from Bank of America. Your line is open.
Matthew Fields: Thanks. I was going to ask the arbitration as well, and maybe just -- I know there is not much you can say but can you give us a clue as to the materiality of the dispute? And sort of maybe in very general terms, what the dispute is about?
Clive Newall: No. Looks its better that we don't comment at all until we have absolute clear understanding of it, and we're not at that point at this moment.
Matthew Fields: Okay. And then I just wanted to ask about Cobre Panama timeline. I think I was just comparing the language in this MD&A versus last quarters. The rump up in 2019 language is new this quarter; and then I think the power plant last quarter what you were talking about first half '17 for commercial power and now it looks like 4Q '17. Is there a change in the timeline of Cobre Panama construction? Is there a delay or is it just kind of different ways to describe the same thing?
Clive Newall: No, it's a sort of phase startup as it has been for a long time now where we start the first train in 2018 but the second one in early '19. So '19 is the ramp up year to full production, so that's really what its saying. The clarity on the power station is that, I mean the timing hasn't really changed but to go by the time you've gone through all the commissioning and energization of lines and all that sort of stuff, there is a lot to happen between switching it on and actually delivering the power. As you probably noticed with the new power station at Maamba Collieries, it's not you just turn it on and suddenly you've got power available, there is a kind of period of time before its useful power.
Matthew Fields: Okay. And then as your pulling forward stripping, but not really changing '17 and '18 guidance for the Cobre Panama CapEx; does that imply that there is sort of an element of 2019 CapEx that should be lower or are you just waiting to update the three-year guidance until February?
Clive Newall: No, that's the implication. It was just more practical to do it now rather than then, it was truly a practical decision, nothing else.
Hannes Meyer: And '17 and '18 guidance, we'll update early next year at our Q4 results release.
Matthew Fields: Okay, great. And then just -- one last question on the capital structure if I can, a lot of materials company in the U.S. have raised equity in recent months to much to the benefit of their credit profile and sort of their bond trading levels. You're coming into a period where you're going to need to start looking at refinancing your unsecured bonds. Do you think that raising equity, given how well your stock has traded is the possibility or do you think that sort of securing the project financing is enough to sort of boost the credit profile to commence that process?
Hannes Meyer: I think we work on various aspects, I mean so our focus is we refinance the corporate facility. We now are in a phase where we're working on the project finance and as Clive alluded it too -- it is quite a lengthy process, so we believe with that and looking at sort of mid next year to complete that process. That will -- long tenure date to our balance sheet which then obviously helps in terms of cash price; so at least that allows to fund the rest of the project and any other operational cash flows can be utilized towards whatever we need to if we want to repay that into debt or refinance bonds or repay the bonds, we can do that. I think we'll look at the bonds probably in a year or two time and see what we do around that. But I think the steps we are taking and commit asset sale, securing a lot of our cash flow in terms of hedges and then refinancing and adding longer tenure date to it; that's all with the aim to improve the balance sheet flexibility and liquidity overall in the company.
Matthew Fields: Okay, great. Thanks very much, I appreciate it.
Operator: Your next question comes from Ian Rossouw with Barclays. Your line is open.
Ian Rossouw: Thank you. Just a question on the Maamba power station. Clive you mentioned that it's been taking a while to ramp up, with these blackouts and some of the restrictions and power, the government -- Zeska [ph] has announced. I mean with the ramp up of those power stations; will that be sufficient to -- I guess ease the load on the system? And maybe if you can just give some color on that please. And then secondly, just on the Kansanshi, obviously with the shutdown you've had -- at the smelter, you've built a bit of inventory; but just wanted to get a sense of how much more you can run down inventory both on the concentrate and outside into Q4 and potentially next year as well? Thanks.
Clive Newall: I'll take the first one and then Hannes, maybe you take the second part of that.
Hannes Meyer: Sure.
Clive Newall: The problem is just in the short run where they are doing this work on the Maamba to Lusaka line. So there is going to be -- so they are not going to be feeding power for a couple of weeks, some rather short period of time. And so that's -- it's a short-term issue. Once the -- once that line is fixed and we're getting full power, we'll be in good shape. But meanwhile we've already started working on a plan to deal with any shortage of power in the short-term period which we can get over just -- because the mills are not running that hard at the moment. So we can build stockpile and just shut things -- shut mills down during the peak times which is not the issue. So it's not anticipated to have any long-term impact.
Ian Rossouw: Thanks. Just a follow-up; and at Sentinel, it looks like you've reduced spending quite a bit there. Was striping-related or just trying to get a sense there -- I mean it looks like your -- the operation overall in the quarter was very basically breakeven. So that was a good sort of step-up.
Clive Newall : Anybody want to comment on that?
Juliet Wall: Yes, I mean in terms of Sentinel; it is EBITDA positive in the last quarter and so what you're -- what you will be seeing is obviously revenue is covering those costs at the EBITDA level.
Ian Rossouw: But if you exclude that it does still look like you've reduced spending quite a bit excluding the pre commercial production costs?
Juliet Wall: Yes, I mean there was an improvement in the indicative C1 cost, particular in August and September as well, when you compare that to July?
Hannes Meyer: Ian, onto your question on the inventory we had a smelter shut down and repairs in August. So our concentrate stock levels probably increased if I look at the way it ended up -- end of the quarters it's there is probably about 20,000 tonnes of concrete more than what we would normally carry, I mean we do expect that to -- then we looked -- looked down during this quarter. And then on the anode inventory, I mean -- having the smelter shutdown also has got the consequence that you producing like anode and therefore have less material to sell. So our sales would have been higher if we didn't have the smelter shutdown, but you're going to have to shutdowns through -- every year you're going to have some shutdowns; you're going to just factor that into your numbers. Anode inventory currently is at 47,000 tonnes. I would say a better label -- that's probably around sort of 35,000 tonnes and it's going vary depending on when we ship the material. So we do send the material to three destinations; it goes to [indiscernible] Bay in Namibia, Dar es Salaam in Tanzania or Durban in South Africa. And -- then it's loaded up and ready for the ships and just depending on the shipping schedule that might go up or down a little bit. But yes, it is probably a little bit higher and that should come down probably to about 35,000 tonnes -- I would think as a reasonable level to maintain in their inventory pipeline.
Ian Rossouw: Okay, thanks. Yes, that's all from my side. Thank you.
Operator: Your next question comes from the line of Alex Terentiew with Raymond James. Your line is open.
Alex Terentiew: Yes, I just had some follow-up questions here on Sentinel. As you transition to the harder sulfide ore, what time does your power requirement exceed the current 126 megawatts the Sentinel is getting? And if you only get 126 -- just -- assumption actually that happens into next year. Do you think you can maintain a third quarter throughput or do you have to -- while you have to dial it back a bit as the organs [ph] have been harder?
Clive Newall: We can maintain throughput for a few more months at 126 megawatts but as time goes on of course, we're mining less and less of the partially oxidized material, and more and more of the fresh materials. So it becomes a problem in the first part of next year but you know the exact timing of that isn't quite clear but we're not anticipating that we are going to have a constraint for this short period of a line maintenance work they are doing.
Alex Terentiew: Okay. And then as follow-up, when you do get full power -- are you guys in a position to -- on the mining front to quickly get those additional tonnes to the concentrator?
Clive Newall: Yes, well that's the thing that we are focused on. When the power is available, I mean have all three excavators and in MP crushes running then we will but it's a step up, yes, absolutely.
Alex Terentiew: Okay, that's it for me. Thanks.
Operator: Your next question comes from the line of Matt Murphy with Macquarie. Your line is open.
Matt Murphy: Hi, Clive did you say in your initial comments that you were looking at being at $60 million ton annualized run rate at Cobre Panama by the end of 2018.
Clive Newall: Yes, that's the target, yes.
Matt Murphy: And how much of a rump-up schedule should we think around that? Is that like one quarter from 0 to 60 or something shorter or longer?
Clive Newall: It will take a little longer than one quarter but remember we are starting up first train in the first half of '18 and we'll by the end of the year or at least half a year of one train and with a bit of luck we'll built the second one but we're assuming that it's going to come in either closer to the end of that year or the beginning of 2019?
Matt Murphy: Okay. And in terms of the pit, have you mined any ore yet and maybe just putting some of this move on bringing forward striping and context -- how ready is the pit?
Clive Newall: Very much, so the pit is being under development for about a year at least now. The three-strip is complete and we are already stockpiling and mining all places. So it will be a substantial -- we'll have a head start, don't worry.
Matt Murphy: Okay, thanks.
Operator: Your next question comes from the line of Havi Hannano [ph] with Bjornberg. Your line is open.
Unidentified Analyst: Hi, Clive -- quick couple of questions; firstly, on Sentinel or actually on Enterprise, just to know what's the latest there; are you guys running copper ore from Sentinel through again mill, and are you planning on shifting over to nickel anytime soon? And the second one is with regards to the removal of actual subsidies than what could be a potential impact on cost in Zambia. And if that's already taken into account in your latest hambur's [ph] set guidance. The concentrated is complete and we will be commissioning it soon as a copper producer. There is no plan to switch over to nickel anytime, soon still in fact we still have a fair bid of shutting to do on all enterprise we would or body before we would do that but also we would be looking for a significantly high in nickel.
Hannes Meyer: I think to answer the question on the field subsidy, there would be an impact at Kansanshi, I the think from recollection -- I think their number is about $30 million or so year; so you could potentially add about $0.04 or $0.05 to Kansanshi C1 cost on that field, it shouldn't impact Sentinel; I mean that's already factored in our numbers in terms of guidance.
Unidentified Analyst: Okay, thank you very much.
Operator: Your next question comes from the line of Arjun Chandar with JP Morgan. Your line is open.
Arjun Chandar: Hi, good morning, thanks. First question I have is with regard to the VAT, do you have any thoughts on the VAT refund given the potential IMF involvement and the government stating that they should have an IMF deal in place by the end of Q1?
Clive Newall: Yes, I think we did. It's been ongoing discussion around VAT for a number of years now. Typically, you go through sort of a quiet period around election time, so we went thought the elections at August and the various officials were appointed in the last quarter. So we are engaging with them and I think with the IMF involvement I think you should see some resolution probably to that during next year or probably settle something around the time as you announce at Q1 -- as you say that Q1 next year probably have some sort of idea where we're going with that.
Arjun Chandar: Great. And with regards to liquidity, how should we think about your true available liquidity? Are there any lines that are readily available to you outside of the $1.4 billion that I calculate between your unrestricted cash balance and available -- committed undrawn credit lines and how do we think about the working capital position as it relates to liquidity?
Clive Newall: To answer those -- unrestricted cash and the revolving credit line, that is available as you said that 1.4 -- I'm just trying to think, I'll put another -- I think it's about $350 million or so working capital lines available as well. When we're utilizing some of that during the month, as we try to meet also -- they have some lines available there as well.
Arjun Chandar: So around 350 you would say of additional capacity over and above the 1.4?
Clive Newall: Yes, we're utilizing some of that 350 -- I don't know if you've got the number on hand, but it's normally -- we're using about 150 -- 100 to 150 or something like that at any one time. So I mean you can probably say there is another 200 or so available.
Arjun Chandar: Great, thank you.
Operator: Your next question comes from Greg Barnes with TD Securities. Your line is open.
Greg Barnes: Thank you. Clive, with the Maamba coal plant on, the power lines getting fixed; what is the power situation in Zambia overall now in your view?
Clive Newall: Well, this is the -- coming upto the period of the lowest water levels in the dams. And as the rain has started already but it takes a while before it gets to the river and lower Kasui [ph]. So it's obviously a tight time but they do have that flexibility to buy in more power if it's required. Maamba seems to be coming on pretty successfully, and so we're not expecting any problems but it would be in the next couple of months if you're going to get a problem because beyond that once the water starts, the dam's starts refiling and that gives you a bit more security. It looks like that at the moment.
Greg Barnes: Has the crises passed just the big deficit between what's needed in the country as a whole and what's available, is that been addressed?
Clive Newall: Well, the two new power stations -- once the line work is finished, the maintenance is finished, will have added about 400 megawatts to the capacity which makes up for a lot of the cutback in production from the Cariboo [ph] for example while the reservoir refills -- which will take a couple of years. So, it's always -- it's going to remain an issue, I'm sure country-wide for a period of time, but the worst is over I think.
Greg Barnes: Okay. And just on the project finance facility, the timing just seems to keep getting pushed out. Now we're saying over the next 12 months -- is the middle of 2017 realistic? And what are the various road blocks or delays that you're confronting here?
Clive Newall: Well, I think in the last quarter we did say mid-year and that's still the target. Ad that -- it's a bit of a marathon, so you've just got to go through the various -- but so the next road block or process that we've got to go through is the information memorandum and term sheet. We're in process that should go out in this quarter. Then you go through the various ECAs and their sort of critic committee process, you should get that by back -- sort of some way earlier next year in Q1; and then completion of the agreement and roll down sort of -- middle of the year.
Greg Barnes: Okay. And what could trip that up, if anything?
Clive Newall: There are various things and that one's got to work and deal with them. We don't foresee any fatal flaws in the process. So there is nothing indicating that this is not doable at this stage. I mean you do a count to various things along the way that you just deal with but some agencies are quicker and others are slower, and you're just got to persist and work thought it.
Greg Barnes: But the syndicate saw that no one's dropping out, no one's shifting their position or anything like that.
Clive Newall: I mean we had a soft indication. The guys -- that gives us an up to -- to fold then facility that we target; and work is ongoing on it.
Greg Barnes: Okay, thank you.
Operator: [Operator Instructions] Your next question comes from the line of Dalsen Brado [ph] with Canaccord. Your line is open.
Unidentified Analyst: Good morning, guys. At the risk of beating a dead horse, I'd like to go back to the Zambian power situation. It looks like Zesko [ph] recently extended a nation-wide load-shedding program from 8 hours to 4 hours. So my question is, in your mind what is the risk of slippage of that November 12 date as far as the power line upgrades go? And if it is -- if the date does slip, what if any impacts that you are expecting -- both [indiscernible]? Thank you.
Hannes Meyer: Clive are you there?
Clive Newall: I'm sorry, have my mute on. Yes, the -- so while the work on the line is carrying on right now, we and everybody else is making adjustments to their consumption as I -- we talked about earlier, just doing -- running the mills or shutting the mills down during peak time to save a few megawatts. And if it went on longer, we would continue to do that but because we are not running the mills at hard, it means we can just stockpile and process 24/7. But the mills are shutdown in peak times, so we can work away around for a length of time.
Hannes Meyer: Clive, I think I got some confirmation back now as well that at Kansanshi we'll take the mix circuit's offline for four hours every night for the next two weeks. So this is not a major impact on it -- yes, I mean we work around it.
Clive Newall: We've been doing it; we've been working around power issues for decades. So there is usually a way of working around it.
Unidentified Analyst: Okay, great, thank you. And then maybe just a quick housekeeping question, just going through the numbers it looks like there was a re-statement of the cathode and concentrate production mix that can substantiate the overall historical production numbers that look staying but the mix has changed. What's the rationale behind the re-statement?
Juliet Wall: That was really a correction to the numbers, it was really just including -- making sure that the allocation was correct.
Unidentified Analyst: Okay, great, thank you.
Operator: Your next question comes from the line of Shawn Wander [ph] with Deutsche Bank. Your line is open.
Unidentified Analyst: Clive, I hate to do it to you again but regarding the Zambian power situation -- clearly there was a lot of dependence on Lake Curibay [ph] and will continue to be. But can you kind of discuss the more broad-based improvements and developments that are going on in terms of power generation in Zambia, be it through additional dams and you already noted the 400 megawatts -- I believe that's coal fire power stations that are out there, that kind of gives you the confidence that the country will be able to support itself going forward?
Clive Newall: Yes, I think it's not all coal fired, there is another hydro scheme, new hydro scheme come online this year as well. But going forward there are a number of fairly substantial power projects at various stages of financing or development. And in fact Zambia intends to be a substantial exporter of power, again, I think by 2018 or 2019 -- Hannes, can you remember?
Hannes Meyer: Yes, I think it's probably later on -- year '19 or so.
Clive Newall: Yes, it's something like that, you might want to check on that but they have -- so yes, there is -- in the long run it's not going to be an issue, it's really just this shorter term period while the big reservoirs recover from last year and -- but at this moment in time of course there is also been a less demand from the bigger industry; number of mines of curtails production or shutdown. And so -- it's not -- as I said earlier, we've always managed to work our way through these things without being -- without actually losing much production, and I don't this is anytime soon. The future -- the longer term future is fine as Maamba ramps up to its full capacity, that will take a lot of pressure off. And you still the flexibility of buying in power from outside which the influx where they make up the shortfalls with. So it's not -- it's always something you got to deal with but it's not a showstopper.
Unidentified Analyst: Right, thank you for that. I think that's it from me for now. Thank you.
Operator: Your next question comes from the line of Matt [ph] with Golden Tree Management. Your line is open.
Unidentified Analyst: Yes, good morning. Just back to the project finance at Cobre Panama; I'm wondering if you could commented all on expectations of potentially using some of those proceeds to repay debt at the parent -- any kind of magnitude that you might be able to talk about? And then also -- would there be any restrictions in moving cash from the Cobre Panama and to the back upto the parent to repay debt? Are there outstanding inter-company loans that would allow you to move that cash or would it be written into the agreement that that as an option, how might that work?
Clive Newall: I think I'll start with the second part of your question. And if you look at our financials, we do have a related party debt that we reflect as part of the data on our balance sheet, and that is shareholder loan [ph]. So we put a similar portion, although four times bigger than our minority partner -- advances a shareholder loan towards Cobre Panama. So you've got the ability then to repay those shareholder loans if you've got cash like the project finance facility. I think if you go to the first part of your question around the project financing -- yes, I mean that is an option definitely to look at -- because we've equity funded essentially all of this projects upto now, so we can extract equity if we want to. But that's part of the discussion in the term sheets, so we're progressing that discussion but it's certainly an option that we have available.
Unidentified Analyst: Okay, great. Thank you.
Operator: Your next question comes from the line Matthew Fields with Bank of America. Your line is open.
Matthew Fields: Thank for the follow-up guys. I just wanted to -- you made some comments about more interest from the ravens with products, I'm sorry Ravensthorpe product, is there an interest in potentially buying that asset or is it just sort of more interest in the product that it generates?
Clive Newall: It's essentially the product that it generates. As you may know, Ravensthorpe is a high pressure assets leech operation, which is a technology we are very comfortable with but a lot of industry isn't very comfortable with it. So it's -- something that might be -- if it's with more like to stay in our ownership, let's put it that way. So it's a product.
Matthew Fields: So no further discussions on potentially selling that asset, even if…
Clive Newall: No, we haven't got off for sale sign hanging on it. So it's -- we're continuing to operate.
Matthew Fields: Okay, great. And then lastly, I saw that it seems like you didn't hedge any more copper subsequent to quarter-end; previous quarters you did a little bit after the quarter. Is there sort of a threshold copper price that you're looking at to make that decision ongoing? And then can you give us a little color on how 2017 shakes out in term of tonnes hedges by quarter?
Hannes Mayer: Yes, you're correct, we haven't hedged out anymore copper than subsequent quarter otherwise we would have put that in. In terms of copper hedge-out, there is a presentation on our website at Slide 17 of that presentation that gives you a breakdown of the cooper that we've hedged out. So it's 142,000 tonnes in Q1, 90,000 in Q2, 60,000 in Q3 and 52,000 in Q4.
Matthew Fields: And can we assume $2.19 for all of those?
Hannes Mayer: Yes, I mean it varies by $0.01 or $0.02. So you're not going to be too far off if you plug into '19.
Matthew Fields: Okay, great. Thank you.
Operator: Your last question comes from the line of Alex Terentiew with Raymond James. Your line is open.
Alex Terentiew: To circle back -- sorry, switch gears rather. I'll go to last [indiscernible], the mine had a various strong quarter, I think it was a record quarter. Recovery is doing well, and -- I think it's only got about four years of reserves left and there was some talk a couple of months ago about some additional leach test and other work to extend the life of that operation. Is there any update there you can give us?
Clive Newall: No, that process is just going through the gears, its pilot plant operating and will be formulating some sort of plan, I think early next year.
Alex Terentiew: But has it started to have something in place that could potentially continue operations continuously after the current part of that plant stops or would there be some sort of production interruption before you go to the next phase?
Clive Newall: The plan would be to try and make that interruption a very -- as brief as possible, if any at all.
Alex Terentiew: Okay, great, thank you.
Operator: We have no further questions. At this time I'll turn the call back over to the presenters.
Clive Newall: Well, thanks everybody. And if you didn't get to ask your question or you've got follow-up questions, please don't hesitate to call myself or Sharon, and we'll look forward to hearing you. Meanwhile, we'll talk to some or most of you again end of the next quarter. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.